Operator: All participants please stand by your conference is now ready to begin. Good day ladies and gentlemen, welcome to the Q4 2014 Investor Call. I would now like to turn the meeting over to Mr. Michael Kuta. Please go ahead Mr. Kuta.
Michael Kuta: Thank you operator. Good morning ladies and gentlemen. Welcome to the Q4 2014 and full year 2014 investor conference call of Amerigo Resources Ltd. on Tuesday, February 24, 2015. Before we begin our presentation, let me caution you that our comments and discussions will include forward-looking statements and information within the meaning of applicable securities legislation. Although, we believe that the anticipated future results, performance or achievements expressed or implied by the forward-looking statements and information are based on reasonable assumptions and expectations. You should not place undue reliance on forward-looking statements and information because they involve unknown and known risks, uncertainties and other factors which may cause the actual results, performance or achievements of the company to differ materially from anticipated future results, performance or achievements expressed or implied by such forward-looking statements and information. You should review our press release issued February 23, 2015, and our other documents filed with the Securities Authorities in Canada including our Annual Information Form under the heading Description of the Business Risk Factors. These documents describe the material factors and assumptions that were applied in drawing the conclusions and making the forecast and projections as reflected in the forward-looking statements and information and the material factors that could cause our actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking statements or information made in this presentation. Now, I’d like to introduce our Chairman and CEO, Dr. Klaus Zeitler.
Klaus Zeitler: Thanks Mike and good morning or afternoon wherever you are. I won’t repeat what our press release was saying, I’m sure you all read that and I will only make a few short comments after which Rob Henderson and Aurora Davidson will go more into detail about the results of Q4 and 2014 in total. The main effort of management in 2014 was concentrated in two areas; one, cost contentment and two, advancing all necessary requirements for successful financing of the Cauquenes expansion project. Such as operating and construction permits, completion of the long-term tailings, processing agreement with Codelco, completion of the long-term copper sales agreement together with the price support agreement and a long-term power contract acceptable to the banks. All this has been successfully concluded and we are now waiting for the final bank financing approval. With respect to cost contentment, our major success was in the reduction of cost and the extraction of tailings from the Colihues deposit through the replacement of contract work and performing this with our own workforce. This allowed us to maintain cash cost at the same level as in 2013, despite the fact that we were mining lower grades both in Colihues and also received lower grade material in the Fresh tailings from El Teniente. We expect the copper grades to improve both in the Fresh as well as in the Colihues tailings during 2015. This is all I’d like to say at this point. Rob will now talk in more detail about the operating results in 2014 and also on guidance for 2015 and Aurora will talk in detail about our financial results after which we will then entertain questions.
Rob Henderson: Thank you, Klaus. For the year 2014 I am very pleased to report that’s MVC operated safely with the record low incident rate and we met production guidance. Our annual production was 41 million pounds of copper and 4.6 million pounds of moly at a cash cost $2.08 per pound of copper. And we see continued and consistent focus on safety and operating margin under the constraints of low metal prices has led positive economic performance despite lower metal production compared to 2013. In Q4 the copper production was 11.4 million pounds and moly production was 160,000 pounds. Both copper and moly in Q4 were highest of the year reflecting an increasing grades and recovery that we’ve seen in both Fresh and Colihues. Cash cost for the quarter was $1.99 per pound of copper. Overall MVC's 2014 operations performance versus 2013 reflected lower copper production from both Fresh and historic tailings mainly due to grade. MVC did well to extract a record annual tonnage from Colihues in 2014 with minimum capital expenditure. The Colihues grade and recovery was lower than normal as MVC extract the material from zone known to content low grade material. As Klaus mentioned, the operating efficiencies at MVC improve significantly due to the company performing the extraction directly rather than through a subcontractor and Colihues's operating cost were $4 million lower than those in 2013. In 2014 MVC also produced 2.1 million pounds of copper via a tailing contract with Minera and Mariconda. In 2015, we expect to process 4 million pounds of copper from this contract. Our successful cost reduction efforts in the face of lower copper prices has resulted in important productivity gains and has enhanced our near term growth profile via Cauquenes. Despite significantly lower realized metal prices in 2014 MVC's cash cost of $2.08 per pound of copper was lower than guidance. Our outlook for 2015 is that production is expected to be 50 million to 55 million pounds of copper at an annual cash cost of $1.80 to $2 per pound of copper. We anticipate production from Cauquenes to commence in the fourth quarter this year enabling MVC's output to ramp up from about 10 million pounds of copper in Q1 up to 19 million pounds of copper in Q4. Cash cost in Q4 is expected to drop to $1.60 to $1.75 per pound, further enhancing MVC's competitive position on the industry cost curve. MVC has received all the necessary permits for Cauquenes and has commenced with procurement to a long delivery items. In first phase of Cauquenes is estimated to cost $71 million and will enable MVC to extract high grade Cauquenes tailings for processing in its existing facilities. On completion of this first phase at the end of 2015 production will be at an annual rate of 70 million pounds of copper. MVC plans to then upgrade its existing plants to increase recoveries and optimize production of copper and moly to achieve production of 90 million pounds of copper. I'll now hand over to Aurora Davidson to discuss the Q4 financials.
Aurora Davidson: Thank you, Rob. I would like to spend two minutes summarizing our Q4 2014 results because they're not as visible as they should be as they're relegated to the MD&A. and then we will move on to the annual review. Q4 was our strongest quarter in terms of production, financial profitability and cash flow generation. Copper production as Rob has already said was 11.4 million pounds, 11% higher than in Q1 our second strongest production quarter in 2014. We've posted a net profit of $1.7 million or $0.01 per share and generated cash flow of 3.4 million before changes in non-cash working capital and $5.1 million after changes in non-cash working capital. Cash cost in Q4 was $1.99 per pound down from $2.22 per pound in quarters one and two. Moving on to our financial results for the year I would like to first mention two non-cash items that had a big impact on our financial profitability. The first one was a net $6.2 million hit on earnings from estimated changes arising from the extension of the master agreement with El Teniente. The second item was a $5.7 million deferred income tax expense from increase in the long term rates in Chile following a significant tax reform. These two items combined represent $11.9 million and eliminating them for illustration purposes we change our reported net loss of $10.7 million to a net profit of $1.2 million. With that commentary out of the way, our core message for 2014 as we stated in our news release is that despite challenging market conditions we continue to generate strong operating cash flow just shy of $15 million while we were impacted by lower copper prices compared to prior years and also by lower production as discussed earlier in the call, we've focused intensity on cost reductions at MVC and had positive results to that affecting the year. Our cash cost trended down from $2.22 per pound in the first half of the year to an average of $1.96 per pound in the second half of 2014. We continue to advance the Cauquenes expansion project. We incurred capital expenditures of $13.2 million in the year of which 68% or $8.9 million were for the Cauquenes project. From accountable perspective, we allocated $11.8 million to capital expenditures in 2014 again most of those for the Cauquenes project. Throughout the year, we continued working under our finance mandate agreement with BBVA to secure bank finance for the Cauquenes expansion and continue to do so to-date. In Q4 a decision was made to complete the Cauquenes expansion in places which management believes will reduce project risk, provide the highest return investment to shareholders and reduce debt exposure. The participating banks are supportive of this approach which has required additional analysis and modeling and revised documentation. We believe we are currently in the final stages of this process and we look forward to a very productive 2015 when the finance is in place. That concludes my comments.
Michael Kuta: So Operator, we'll take any questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Joseph Reagor of Newport Beach. Please go ahead.
Joseph Reagor: Couple of kind of big picture questions here. The first one being with the revised plan for Cauquenes expansion when might we be getting I guess the timeline and a breakdown of how the expansion might look for modeling and estimates purposes?
Klaus Zeitler: Well I guess as we said that first phase will be concluded in 2015. And we hope that even in the last quarter of 2015 we would be at a production level which will give you a good indication what the production level will be or can be in the following years even if we don’t immediately expand further.
Joseph Reagor: But do we have a magnitude on that first phase 1 tons and grade kind of forecast and initial CapEx number just for phase 1 by itself?
Klaus Zeitler: Yes I think that was mentioned.
Rob Henderson: $71 million and Q4 production is estimated at 90 million pounds which is about run-rate of about 70 million pounds of copper per year, so phase 1 is going to us $71 million to get us to 90 million pounds per year. Sorry, 70 million.
Klaus Zeitler: Subsequent phases will then take us up to 90, but the timing and the cost of those are contingence on copper prices and financing environment towards the end of the year 2015 so we do have those plans but we are still deciding which are the most optimal subsequent phases to phase 1.
Aurora Davidson: And Robert if I would just may add, when we're talking about a $71 million CapEx for phase 1 that already includes $60 million incurred to 2014, so we are remaining -- we have a remaining CapEx of $55 million for 2016.
Joseph Reagor: And just one additional question to that subject. Was the decision to move to the phases was that based on the upfront capital needs, the copper price decline or both?
Klaus Zeitler: I think there were various factors involved in that. The amount of financing the copper price, but it was interesting when we started looking at the phase approach. We realized that it gives us a lot of advantages. Just one example with the molybdenum price as it is right now for instance it would not make much sense to spend a lot of money for the expansion of our molybdenum plant. So if the molybdenum price does not improve we will just continue with the facilities which we have for molybdenum at this point and wait till there is a price improvement in molybdenum. If you would have done the project in one project financing approach, you could do that because you have completion guarantees all that and in these completion guarantees you have all the various elements of your full project in there. So if we would have had to build the whole project and as I said for instance in molybdenum we wouldn’t get much benefit out of this investment at this very moment. 
Joseph Reagor: Okay. That’s fair point. And any guidance on timing of the bank debt being completed?
Klaus Zeitler: Well, as Aurora said we think we are very close and so we would expect that there should be an announcement not too far ahead. 
Joseph Reagor: Okay. I’ll turn it over.
Operator: Thank you. [Operator Instructions] Following question is from John Pancari of New York. Please go ahead.
John Pancari: Thank you, gentlemen. Question on the high grade ore now that we are processing a 100 grade, how much high grade is available a multiyear quantity, can you give me some color on your estimate for the quality of the ore going forward.
Klaus Zeitler: I guess, we’re not saying that we are high grading. What we are saying is we’re coming out of a very low grade area and we knew about that low grade area and being in the tailings pond where you have to work from the top to the bottom -- you cannot go in at the bottom. We had to mine this low grade area and that came from an environmental impact which El Teniente had in 2006 where they were not allowed to take a certain amount of tailings down to their ultimate tailings pond and therefore they took the tailings -- the Fresh tailings into Colihues where we were mining. So we now have to go through these low grade Fresh tailings which were deposited in Colihues before we get back, completely back to the originally deposited tailing which of course had higher grade. And as Rob was saying we have seen improvement in the grade and we think we will see further improvement in the grade to the normal grade during 2015. 
John Pancari: And this is more of return to what historically the grade?
Klaus Zeitler: Right, exactly.
John Pancari: And equals to high grade?
Klaus Zeitler: Exactly.
John Pancari: Okay. Can you give me a little color on the power agreement I think did I hear you say, the power agreement is, or new or additional power agreement is in place I know that have been a piece of the financing that was still open and it sounds like it’s been reserve.
Klaus Zeitler: Right. While the banks required a long-term power agreement. As you know our present power agreement goes to the end of 2017 and so now we concluded a new power agreement with the same company for the period of 2018 to 2024. And that agreement has a power price which is higher than the present one. The price is $118 per megawatt hour and that price when you include in that price also the distribution cost for the overhead lines and the distribution to our location comes to a total of about $131 and that was the price which was used in the modeling of the project for the banks. So we were able to conclude a power contract which satisfied the banks.
John Pancari: And that covers the expansion -- the first phase of the expansion as well as the existing operations through 2024?
Klaus Zeitler: '24, yes, it doesn't cover 100% but between that contract and our generators we have I think we're covered because if the price goes above the 131 in the market where we would have to cover the remaining 30%, we are hedged through our generators because then we can also sell power at this higher price from the generators. So overall, we think based on present oil prices we are completely hedged 100% based on $131 per kilowatt hour.
John Pancari: -- be correct and saying that price is guaranteed for 70% of units?
Klaus Zeitler: Yes, and hedged through our generators for the remaining 30%.
John Pancari: And if the price was 131 or lower, they would be able to supply 100%?
Klaus Zeitler: No, no we would just buy in the market at that lower price for the 30%.
John Pancari: Right, that's what I'm saying; you not have a need for the generators you would just augment the contract with open market purchases?
Klaus Zeitler: Exactly.
John Pancari: Okay, my last question was I know the bank agreement is taking some time and which is anticipated to be finalized last year and then year-end and here we're at the end of February and I can understand how these things get delayed, but what it'd be -- without trying to --?
Klaus Zeitler: That is going to be a difficult question I know it already.
John Pancari: Well, actually what I'm leading up to is when that agreements put in place because I know you are not able to give a specific date. I'm looking at the stock price to total market cap, the cash on the balance sheet, the lack of debt and the market capitalization is so low is it out of the question during the term of expansion to consider using any cash generation for repurchase at what is a Canadian price of $0.25 a share with no debt in the books or is that something that the agreement would not allow, or is it something you’re not even considering and I bring it up only because the stock is obviously drifted off over the last six months, the debt has been repaid, the project moves closer to finalization, the financing was closer to being signed and the market cap seems disproportionately out of lack with both capital expended today plus the book value, et cetera.
Rob Henderson: Well, first, let me tell you, we've just done an analysis through 2014 how we faired in comparison to our peers and even in comparison to large mining companies and we were performing better than our peers so I think first of all right now.
John Pancari: No, it wasn't a criticism.
Rob Henderson: No, but it seems that right now nobody is just interested in natural resource stocks and I would not be surprised if when we announce the financing that at first the price may not move very much because there is just no interest in the financing community to go into natural resources at this point. But to answer your question, yes, we have the opportunity of having free available cash flow during the time of the bank financing and we can do with that free cash flow whatever we want to do repurchase stock, declare dividends, use it for stage two expansion or whatever and so yes, there is the possibility of free cash flow which will not go to the bank.
John Pancari: And my very last point is without trying to ask you a question that you can't answer with something extremely difficult, is there a particular area in terms of negotiation with the bank that's proving to be a little more difficult or has there been an impediment at all or is it just a matter of these things taking time?
Klaus Zeitler: Yes no-no, there is really not -- we haven’t really done much in the last little while. The most difficult thing is that there is vacation time in Chile and so the bank was just not able to get all the members of the credit committee together for a final discussion and approval or disapproval.
John Pancari: Is Codelco required to [apply] on this in anyway?
Klaus Zeitler: No.
Operator: Thank you. The following question is from Stephen Ottridge of Vancouver. Please go ahead.
Stephen Ottridge : At the end of 2015 what percentage of savings will be coming from Cauquenes that you will be processing and what percentage from Colihues?
Rob Henderson: Stephen its Rob here. The plan is to run Colihues ops till the end of the year, but its contribution becomes smaller and smaller. So by the time we hit December when Cauquenes is hitting its stride at 60,000 ton a day, we're going to be producing approximately get the numbers right here over 50% of the copper is going to be coming from Cauquenes with a little bit from Colihues and the remainder from Fresh, so Cauquenes is going to be our major contributor in 2016 going forward.
Stephen Ottridge : It sounds to me there's going to be quite dramatic change in the numbers for next year?
Rob Henderson: It is, the original feasibility study had Cauquenes going up to about 75% of our production, so we will get there eventually but the staged process is going to be I'd say just over 50% is going to come from Cauquenes.
Stephen Ottridge : Another quick question I got for you, the third-party tolling agreement that you have will that continue in 2016 once you get the full production out of Cauquenes?
Rob Henderson: Yes our conversations with Minera and Mariconda suggests that we will still be getting less material in 2016.
Stephen Ottridge : So it's quite profitable then to be doing that.
Rob Henderson: Correct it's a win-win situation.
Operator: Thank you. The following question is from Raymond Goldie of Toronto. Please go ahead.
Raymond Goldie: I have two questions and the first one concerns the comments you made Rob about moly it sounds as if I'd been assuming that moly production would rise in line with copper production, so it sounds as if the [indiscernible] should be considering that once we've reached the end of 2015 the run-rate of moly production would still be as it is right now something like say 800,000 tons a year is that right?
Rob Henderson: Yes Ray the moly will pick up towards the end of the year differently where Cauquenes has a lot more moly in it. We're not going to be doing all the upgrade to the moly plant at yet, where growth is going to be differing us for 2016 onwards, but we do expect still a lot more moly from Cauquenes and yes we are looking at just side of them I mean in pounds in moly for forecast for the total year. So it will increase but not to a maximum amount.
Raymond Goldie: But is that million tons here that's the current capacity of the moly circuit?
Rob Henderson: Yes it's a function of grade so I think it'd be we're not going to be expecting huge volume input, throughputs changes in the moly plant, but the grade is going to go up so we are going to produce more moly as side effect from Cauquenes.
Raymond Goldie: So a number of 2016 will be 1 million pounds for moly?
Rob Henderson: We haven’t issued that yet, but that would be my expectation in that region yes.
Raymond Goldie: And then the other question related to the extended electrical contract that the class referred to $131 per megawatt hour with the contract beginning in 2015. Now is the inflation escalation a part of that price and if so does that the inflation starts now or in 2018?
Rob Henderson: There will be inflation in the same way as we have it in the present contract; inflation will be based on 50% of the U.S. consumer price index, 30% on the oil price and 20% on the coal price.
Raymond Goldie: So, in guidance does that inflation start in 2014 so -- form 2014 to 2018 at $131 number is instead of those rates?
Rob Henderson: Ray, I would have to come back to you, I’m not quite sure whether it’s start 2014 and 2015, but --.
Raymond Goldie: But it’s not 2018?
Rob Henderson: It’s not 2018.
Raymond Goldie: Okay. Well, that’s good enough; it’s only a 2% difference between last year and this year.
Rob Henderson: It could be significant and I’m sorry that I haven’t looked into that because in 2014 we had the fall in the oil prices. So you have not an inflationary situation but a deflationary situation. If it starts 2015 then we miss that, right. 
Raymond Goldie: I look forward to finding out what these start date is, thanks very much.
Rob Henderson: If I am not mistaken it starts in the last quarter of 2014, but I will confirm that.
Raymond Goldie: That’s a good time to start. 
Operator: Thank you. The following question is from Wayne Atwell of Greenwich please go ahead.
Wayne Atwell : Thank you. Have you hedged any of your power cost for your generators with fuel being so depressed it would make sense to do that, is that something you’ve done?
Klaus Zeitler: We have not done it but we have disgusted it internally here. And it’s something we might look into. It’s not that easy because what we found is that the heavy oil price with which we run these generators does not exactly follow the oil price and I think we would have to do the hedging in the oil price.
Wayne Atwell : Okay. So what you’re saying is, you would have to hedge product that you actually don’t consume, it’s similar to but not exactly like it?
Klaus Zeitler: Exactly. Yes. But we have discussed that and we will certainly look into it and make a decision. 
Wayne Atwell : Okay. And does it make sense to run your moly circuit with, moly so depressed right now; is it profitable at this point?
Rob Henderson: Yes, it is. We are making money on moly not as much that we used to make but it’s still in the order of 1 million and 1.5 million a year we get in additional income from moly. So it doesn’t make sense to run the plant. But moly price goes down we certainly have another look at that.
Wayne Atwell : Okay. And once you’re done with the project you’ve got in the works now, do you have another project down the road a few years from now that you’re thinking about or this is pretty much for right now?
Klaus Zeitler: No, I mean we will eventually get to, as Rob mentioned to the 90 million pounds, but as I’ve said before and where I used the moly example we also can do the further development in further stages probably in three stages if we want we could also do in one stage. Each of these stages is quite independent of each other and it produces different economics. So, it will depend very much on the copper price, how fast we would do all of these stages or whether we would only do one or two of the stages.
Wayne Atwell : Okay. But I was actually thinking more in lines with a new location -- a whole new facility somewhere else.
Klaus Zeitler: No, not at this point.
Wayne Atwell : Okay. So that’s not even on the drawing board?
Klaus Zeitler: It is on the drawing board, we have been talking to for instance Chuquicamata and two other people. In the past nothing has come out of that yet, but this is something which we always have in mind and we may -- I mean the construction Cauquenes at the first stage will be done relatively fast and we may pick that theme up again during this year.
Wayne Atwell : Okay, thank you.
Operator: Thank you, there are no further questions registered at this time, I'd like to turn the meeting back over to Mr. Kuta.
Michael Kuta: Thank you, operator. Thank you everyone for listening in and we look forward to talking to you again when we release our Q1 results in the spring. Thank you.